Operator: Good afternoon. My name is Mike, and I will be your conference operator today. And at this time, I would like to welcome everyone to the Whole Foods Market Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I will now turn the call over to Cindy McCann, Vice President of Investor Relations. You may begin your conference.
Cindy McCann - Whole Foods Market, Inc.: Good afternoon and thank you for joining us. On today's call are John Mackey and Walter Robb, Co-Chief Executive Officers; A.C. Gallo, President; Glenda Flanagan, Executive Vice President and Chief Financial Officer; Jim Sud, Executive Vice President of Growth and Development; David Lannon and Ken Meyer, Executive Vice Presidents of Operations; and Jason Buechel, Executive Vice President and Chief Information Officer. As a reminder, all forward-looking statements on this call are subject to risks and uncertainties that could cause actual results to differ materially from the expectations and assumptions discussed today. This may be due to a variety of factors, including the risks outlined in our company's most recently filed Form 10-K. In addition, our remarks today include references to non-GAAP measures. For a reconciliation of our non-GAAP measures to the GAAP figures, please see the tables in our earnings release. Please note our press release and scripted remarks are available on our website. I'll now turn the call over to John Mackey.
John P. Mackey - Whole Foods Market, Inc.: Thank you, Cindy. Good afternoon, everyone. In Q4, sales increased 2% to a record $3.5 billion. We opened five new stores, including two 365 stores. We continued to make selective investments on key items to narrow pricing gaps while offering strong weekly deals, which were supported by the continuation of our enhanced ad campaign. We also successfully launched our new affinity rewards program in the Dallas/Fort Worth metro area. In a heightened competitive and promotional environment, we have remained focused on our initiatives to build sales over the long-term and are seeing encouraging signs of customers responding, as reflected in our third consecutive quarter of improving items per basket. As our value, personalization and marketing efforts gain traction and new sales-building initiatives roll out throughout the year, we expect our traffic trends to improve as well. In a challenging operating environment, we maintained our expense disciplines, delivering 8% EBITDA margin, $0.28 in earnings per share and $352 million in operating cash flow. As highlighted in our press release, we have made measurable progress this year on our nine-point plan to position Whole Foods Market for continued success in an increasingly competitive marketplace. This includes one of our most important initiatives, which is to reduce expenses by a $300 million run rate by the end of fiscal year 2017. We are pleased to report that as of year-end, we are more than 50% of the way toward our goal. The biggest reductions to-date have been achieved through various labor saving measures, including evolving our marketing and HR functions from a store to a metro model, reducing buying positions as we transform our purchasing operations and combining certain store teams, such as meat and seafood in lower volume stores. Many of these efforts allow us to focus our store labor investments where they are most needed, ensuring product availability, maintaining high standards and serving our customers. In addition to labor and benefit savings, we significantly reduced our supplies and packaging expense through a more consolidated purchasing program across regions. Another major accomplishment was the launch of our new value format, 365 by Whole Foods Market. We're using the learnings from our first three stores to shape and evolve our next round of 365 openings. And we're excited about the opportunities this streamlined operating model presents for our existing and future Whole Foods Market stores as well. We're also pleased to share that our unified point-of-sale system, including EMV technology, is now up and running across all of our U.S. stores. This was a significant undertaking involving the conversion of more than 6,200 checkout lanes. This system provides the foundation to enhance our promotional capabilities, including more dynamic and personalized offers through our mobile app and rewards programs. As we evolve our business model, our commitment to our core values, mission and culture has never been stronger. And we appreciate our team members for continuing to deliver a world-class shopping experience to our customers. In a year that presented many ongoing headwinds for food retailers, including deflation, increased competition from existing as well as new business models and lackluster consumer demand, we produced industry-leading sales per square foot of $915 and a healthy 13% return on invested capital. While sales were lighter than forecast, we achieved many of the fiscal year targets we provided in Q4 last year, including $1.52 in earnings per share, excluding buybacks, and an 8.6% EBITDA margin. We produced more than $1.1 billion of operating cash flow and invested $716 million of capital primarily in new and existing stores and technology initiatives, resulting in $400 million of free cash flow; and in keeping with our capital allocation strategy, we returned more than $1.1 billion to our shareholders through dividends and share repurchases. Turning to our outlook for fiscal year 2017, we expect sales growth of 2.5% to 4.5% and earnings per share, excluding potential future buybacks of $1.42 or greater. Our priorities include, progressing to an always on unified marketing and media plan; using insights from our customer data and analytics to improve the relevancy, effectiveness and efficiency of our value and marketing investments; intensifying our personalization efforts, including a rollout of our optimized rewards program to all U.S. stores; taking a more strategic approach to our assortments, pricing and promotions, including the continued development of category management tools, processes and capabilities to better inform our investments; evolving our purchasing structure to a hybrid model, with global teams leading our category management efforts and regional teams focused on local products; leveraging our new culinary team's leadership and expertise to offer a full spectrum of the highest quality, readymade meal solutions, in-store or delivered to your door, including a pilot for curated meal kits; and offering our customers more convenience through expanded online delivery to more cities and additional ZIP Codes in existing markets. So far in Q1, we have relocated our Center City Philadelphia store, which had the second highest opening sales week in our company's history and opened our first store in El Paso, Texas, which garnered significant media attention across Mexico and is doing twice its projected sales volume. Our new stores on average continue to be profitable in year one and we have many other exciting openings this year, including Bryant Park in New York City in January and Lakeview, Chicago this spring. At the same time, we believe it is prudent in this challenging retail environment to continue to moderate our lease signings, ending square footage growth and capital expenditures as a percentage of sales. We have seen stability in comps over the last two quarters and an improvement in trends quarter-to-date for both traffic and basket size. We are encouraged that our value and marketing efforts appear to be gaining traction with customers and believe we will see momentum as our sales-building initiatives are rolled out throughout the year. The competitive landscape is very dynamic, however, and it is uncertain how long the deflationary environment will continue. The high end of our negative 2% to flat comp range reflects a negative 2.5% two-year comp, slightly better than Q4's negative 2.8%. While the low end reflects the possibility that two-year trends could get marginally worse before they get better, as we have seen quarter-to-date. As we have stated, our strategy is to adjust our operating model to a lower margin and lower cost structure. Every major conversion we have about investments in pricing, technology and marketing is accompanied by a conversation about lowering our cost structure through enhanced technology tools, labor restructuring and work process changes. Last November, we announced our goal to reduce our cost structure by $300 million run rate by the end of fiscal year 2017. We expect to reach our goal, but expect these savings to be more than offset by our investments to drive traffic and sales as well as higher occupancy, depreciation and other cost. Therefore, we expect a decline in operating margin of up to 60 basis points for the year, with greater declines in the first half, primarily related to higher year-over-year pre-opening expense in the first quarter and marketing expense in the first and second quarters. Please see our press release for more detailed guidance. In closing, food retail is evolving at an incredibly fast pace, and consumers have many more options for how and where they buy their food than ever before. At the same time, the market opportunity is expanding as the consciousness about fresh healthy foods continues to awaken. Our company mission, commitment to transparency and the culture of innovation are more relevant and timely than ever. And where our company is today is just a shadow of where we think it will be in the future. We sell the highest quality food in the world. Our standards lead the industry, and no one delivers the dynamic and compelling in-store experience that we do. We continue to see strong customer reception to our brand in new and existing markets as evidenced by recent openings. Our stores are highly profitable with only seven out of 456 stores at year-end not producing positive EBITDA before rent. We will keep innovating and creating opportunities for people to connect and find a sense of community in our stores and in the digital world. Promotions and price investments are an integral part of our conversation, but we are not participating in a race to the bottom. Our strategy revolves around leading a race to the top in terms of a differentiated customer experience, continuing to raise the bar on our quality standards and selection, providing new levels of transparency and accountability and leveraging technology to deliver an improved shopping experience. We believe we have the right strategies in place to position the company to produce strong results and returns for our shareholders over the long-term. In a separate release today, we announced some coming structural and leadership changes. I want to take the opportunity to acknowledge and appreciate both Walter and Glenda for their many years of partnership and service to the company. The significance of their countless contributions cannot be overstated, and we are grateful that both will continue to be involved in shaping our future. We will now take questions. Please limit yourself to one question at a time so that everyone has an opportunity to participate. Thank you.
Operator: Your first question is from Karen Short from Barclays.
Karen Short - Barclays Capital, Inc.: Hi. Thanks for taking my question. Just curious, I mean obviously with Walter and Glenda departing, that must have been a very tough decision for you and – I mean for the company. But maybe any color on that in general. And then what thoughts are related to CFO search? And then if there's any – John, I'm assuming you will be taking over the CEO role. So, just a little color there.
Glenda Jane Flanagan - Whole Foods Market, Inc.: This is Glenda. I'll go first. For me, I've been with Whole Foods or I will have been with Whole Foods 29 years next year when I retire. I'll turn 63 this year, so that's almost half of my life. It just feels like time for me and excited about the opportunity to be here and assist with the thorough search for a new CFO and have plenty of time for a smooth transition. So we will probably start the search process sometime in January.
Walter Robb - Whole Foods Market, Inc.: This is Walter, and how about them earnings. But I would say, I've also been here a few years and I think that – I think we have – life's not a straight line, but I think we have as a team, John and I and the team here that's around the table, we have really worked hard the last year to work through kind of the changes of the environment, the structural changes in retail. And I think you all know we've gone here or we've gone there trying to figure out exactly the right places to land. I think you can see in the coherence of the script today how it's really come together in a very thoughtful and strategic manner in terms of how we go forward. And we have a very optimistic view this coming year, and I think the board has decided, of course, John and I are on the board, that moving to a more streamlined structure is the right thing at this juncture to lead the company forward to the next level. And I will be here to continue to cheer that on, and I think that's where we are.
Glenda Jane Flanagan - Whole Foods Market, Inc.: Okay. We'll (13:52).
John P. Mackey - Whole Foods Market, Inc.: They covered it.
Karen Short - Barclays Capital, Inc.: Thanks very much.
Operator: Your next question is from Edward Kelly from Credit Suisse.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Yes, hi. Good afternoon. I'd like to just dig into your commentary around value and marketing efforts beginning to gain traction and as it relates to basket and traffic. So your basket growth was fairly encouraging, actually, particularly against deflation, price investments. So what is this I guess saying about your most loyal customers and the recognition for the work that you're doing in the store? But then on the other side of that, traffic is still an issue. And what are your thoughts around why that's lagging? And then as it relates to that, Q1, it sounds like you talk about traffic getting better. I assume that means the traffic quarter-to-date is better than the 4.2% in Q4.
Walter Robb - Whole Foods Market, Inc.: So, this is Walter. I'll take a couple of cracks at – there's a lot of questions in there. But the first one is on the baskets.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Sorry.
Walter Robb - Whole Foods Market, Inc.: What's really – yes, you did a good job on that. The first one that's really exciting looking at these results is if you look across the quintile data for the baskets, every single basket was moving up. And so what that says is that there's some real stability here. And particularly in the $100 basket, it's showing some nice growth, showing that our most loyal customers are continuing to shop with us. And the cool thing about the data and analytics we have now is we can actually look into that $100 basket and we know what the drivers are in there. And we've got that to build on. Look, with respect to the – with respect – and that's a capability we never really had before. With respect to the trips, I mean it's – yes, clearly this is a challenging environment for retail in general on trips. But actually in this Q, we saw in the time period, we've seen an improvement. It's still not where we want it, but it has improved sequentially, and I think that we've always said we got to go items first, and from items we go to trips and I think we're going to come on strong with the marketing investments this year. Then I think you're going to be pleased to see with our new leader, Sonya Gafsi Oblisk, and we're going to really work hard to go right after those trips. So, I think items lead first and from them – and then comes the trips.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Great. Thank you.
Operator: The next question is from Rupesh Parikh with Oppenheimer.
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Thank you for taking my question and congrats on the progress to-date. So, on the 365 stores, I just want to get an update in terms of how those are performing aggregate versus your expectations. And any early reads on cannibalization with your Bellevue location?
David Lannon - Whole Foods Market, Inc.: Hi. This is David. Yes, so cannibalization is lower in Bellevue than we had anticipated. So, we see the customers are seeing it as two separate choices and/or shopping at both, so the Bellevue Whole Foods is doing better than we expected with that. It's still early days for both those stores, so we opened Silver Lake six months ago or seven months ago, but then we – with Bellevue and Lake Oswego, it's early days, eight weeks and 12 weeks, so still pretty early in the learning cycle. But we're very excited about what we've seen so far. We've kind of built in a pause in the development cycle here till we open the next store in the spring in Austin. So we're learning from the data that we received from the customer shopping in the store and we're making adjustments and tweaks and really trying to make sure we perfect 365 before we really hit the gas on new store openings.
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Okay. Thank you.
Operator: The next question is from Chris Mandeville from Jefferies.
Christopher Mandeville - Jefferies LLC: ...my question. So just really quickly, unfortunately, I hopped on the call a little bit late but if I missed it, Walter or John, can you happen to talk about what type of cost-cutting capabilities remain? You mentioned that you're more than half done as it relates to reaching your goal of $300 million. But I'd just love to hear what opportunities remain or buckets that you could go after? And then in addition, as it relates to the marketing spend in the first half of the year, is there any ability to help kind of provide some additional color or quantify that for us?
David Lannon - Whole Foods Market, Inc.: This is David. Just a couple of things we're – again pointing back to 365. 365 is the first area of Whole Foods where we're actually doing auto replenishment. So, in other words, our automatic orders, less labor to actually do orders in the store, so we're learning from that process and we've started a few tests of category management in a few different regions, and again early results are good so we think there's a really long runway of cost savings there. And then all the regional presidents are working very hard on combination teams as John said in the script. He talked about meat and seafood, but we're also combining a lot of teams so we're seeing reductions in labor at the store level as we kind of work our way through those combinations. So still a lot of runway there as well.
Walter Robb - Whole Foods Market, Inc.: And your question about the marketing spend run rate, was it – could you just state that again, please?
Christopher Mandeville - Jefferies LLC: Yes, I'm just curious if you could provide some incremental color on the actual amount or just quantify that for us?
Walter Robb - Whole Foods Market, Inc.: No. It's all baked in the numbers, but we're going to – what John had said in the script is we're going to go always on this year and others. I think our learnings from the past have been that we've stopped and started. And I think what we realized we need to stay out there and stay out there in multiple places and there will be some burst during the year that you'll see, it'll be more visible than others on TV, but it's a steady state throughout the year and it's already baked into the numbers.
John P. Mackey - Whole Foods Market, Inc.: We think we have the right leadership in marketing at this point and...
Walter Robb - Whole Foods Market, Inc.: Absolutely.
John P. Mackey - Whole Foods Market, Inc.: ...we're definitely going to – we're upping our marketing spend. We have confidence that we're going to market in ways that deliver value for our shareholders. So we're really that quite excited about the marketing strategy that we're going to unleash here. We're already beginning to unleash it and you'll see it much stronger as we get into calendar 2017.
Walter Robb - Whole Foods Market, Inc.: Well, Thanksgiving too. Starting on Thanksgiving, yes. (20:13)
Operator: The next question is from Vincent Sinisi from Morgan Stanley.
Andrew R. Ruben - Morgan Stanley & Co. LLC: Hi. This is Andrew Ruben on for Vinnie. Following up on the marketing plan, can you talk about the affinity rollout that's still planned for the upcoming year and how that plays into the overall marketing plan?
Jason J. Buechel - Whole Foods Market, Inc.: Yes, this is Jason. As you know, we went live about 14 weeks ago in Dallas with our enhanced affinity rewards program. We're taking some learnings from that already and building it into our plan to roll to all stores next year. We are not providing specific dates on the call today, but our anticipation is we'll take it to all the U.S. stores, as we've stated in the script and we're very excited about the results that we're already seeing with the revised program. We have nearly 50,000 folks up in the Dallas metro already registered and participating.
Operator: The next question is from Bill Kirk from RBC Capital Markets.
William Kirk - RBC Capital Markets LLC: Thanks for taking my question. John, you had previously mentioned on 365 that the sales productivity per square foot was better than the legacy system and maybe even suggested that ROIC could be accretive and EBIT margins could be accretive. Is there any update there now that you have the Bellevue store in place? Are those still things that you believe are happening?
John P. Mackey - Whole Foods Market, Inc.: We just still think it's really too early to give long-term projections on 365. Our results have been a little bit mixed. Some of the results have then absolutely blown us away and others have been a little bit less than we had hoped for. So we're still incredibly bullish. We've got 19 stores in development and we're evolving the 365 concept. David said we're in a pause right now, so when we open our fourth store, it's going to be kind of 365 2.0 and we're taking the things that have worked better and we're putting more capital into them. Things that haven't worked, we're phasing out and so I think the – our next store opens in Cedar Park, is that correct? We're opening our next store in Austin. So our home base store. And when do we expect that might open, David?
David Lannon - Whole Foods Market, Inc.: We haven't announced an opening day, but spring.
John P. Mackey - Whole Foods Market, Inc.: Spring 2017. So we think we're going to – we'll have more data at the time, of course, on our three existing stores.
David Lannon - Whole Foods Market, Inc.: A little color I would say though is the labor hours that we projected for all three stores, we are able to operate the stores at those labor hours, and we think as we grow that was not a surprise we were able to do that. So we are seeing – and then in terms of our development schedule, we are seeing our ability to open these stores at about half the cost to build a Whole Foods Market.
Walter Robb - Whole Foods Market, Inc.: And this is Walter. I just wanted to reinforce something that was said earlier, which is that, this is an And, not an Or for Whole Foods and part of what has helped us throughout to stay true to the $300 million run rate and improve our results has been the learnings from 365. It has been a tremendous teacher and laboratory for us to explore more automation, to explore new labor schedules, new labor combinations. JT and his team have done a fantastic job. So the effects of 365 go well beyond just the three stores that are open so far.
David Lannon - Whole Foods Market, Inc.: Punching above the weight class.
William Kirk - RBC Capital Markets LLC: Yes, that's very useful. Thank you.
Operator: The next question is from Ken Goldman from JPMorgan.
Thomas Hinsdale Palmer - JPMorgan Securities LLC: Hi. It's Tom Palmer on for Ken. Thanks for taking my question. I was looking to get a bit of clarity around your price investments. The press release makes reference to the deflationary environment, yet you also note that the average price per item was flat year-over-year. Should we interpret this to mean that input costs were down by more than prices? Or given your mix difference, it was the deflation in some categories more than offset by inflation in others?
A.C. Gallo - Whole Foods Market, Inc.: Hi. This is A.C. Yes, I would say that overall costs and retails were pretty flat. We did see in costs and early in the quarter we were definitely seeing some deflation. As the quarter went on, it moderated and we actually saw an uptick in certain categories like our farm-raised salmon, which is a very big part of our seafood sales, saw a dramatic increase towards the end of the quarter. And a couple of produce items, specifically avocados, there was a big disruption in Mexico and we started to see an increase there too. So I would say overall it was fairly balanced. And one thing to remember too with us is that our – when certain commodity products really drop down, it doesn't affect us as much. So for instance, there has been a large decrease in the commodity eggs this year, but those aren't the eggs we sell. Our eggs are all raised under contract to our quality standards by our producers who produce them based on cost to produce. So we're not as affected as much by some of those big commodity swings with the products that we sell. So I'd say overall, things were pretty flat for us in the quarter.
Thomas Hinsdale Palmer - JPMorgan Securities LLC: Thanks.
Operator: The next question is from Howard Penney from Hedgeye Risk Management.
Howard W. Penney - Hedgeye Risk Management LLC (Research): Thank you very much. A number of times when – or in the past, companies that have come up with scripts for their calls, sometimes things get left on the cutting room floor. And I was just wondering if maybe you could expand into if that's the case, there were some things left on the cutting room floor, how consumers are using your store? And this is a little bit of the question before about the change in transactions versus the basket size, and maybe some of the other learnings that you could emphasize. Thank you.
John P. Mackey - Whole Foods Market, Inc.: I don't understand the question. You want to know what we didn't tell you in the script? You want to know what we cut? (26:39)
Walter Robb - Whole Foods Market, Inc.: No. The cleaning crew's already taken all that stuff. But I think I know what you mean. You're trying to understand the gap or the spread between traffic and items and so forth, I think. I mean the big news really is that the baskets stayed – all the baskets across the quintile stayed strong. So there might be a little bit of an emphasis on value for customers as we're peering into those baskets and looking for common themes. There might be a sense that customers are watching their value purchases. But at the same time, we're also seeing that the drivers around the things that we do really well, the salmon that A.C. referenced earlier. So I think we just need to – that's kind of where we need to leave it for today. But thanks for the question.
Operator: The next question is from David Magee from SunTrust.
David Magee - SunTrust Robinson Humphrey, Inc.: Yes, hi. Good afternoon, everybody. You mentioned that you weren't interested in chasing or racing to the bottom, so to speak, in promotions and we understand it's been pretty promotional in the last few months. Are you seeing any change in the environment? And was that related to your traffic dip as well during the quarter?
A.C. Gallo - Whole Foods Market, Inc.: Hi. This is A.C. Excuse me. I think your question was did we change our promotions in the quarter? And did that drive – change our traffic?
David Magee - SunTrust Robinson Humphrey, Inc.: No, just the fact that you didn't match promotions during the very promotional period in the last few months, was that related to the traffic dip that you saw as well?
A.C. Gallo - Whole Foods Market, Inc.: Like I was saying earlier and we've said in the script, it's not a race to the bottom that we're going to – hopefully this is always going to be about delivering the best quality food and experience to our customers. So when other people might be promoting certain commodity pricing, we're going to continue to maintain our standards and promote our higher quality products. We did in the beginning – in the summertime, we found – the last – and I think this is true for a lot of retailers. The latter part of the summer is a slower period for us, and we found that promotions during that period don't have as much of an impact as they do – once you get past mid-July, promotions don't have as strong of an impact. So we did a lot of promotions early in the quarter, especially in our perishable areas. And then as we got to later in the quarter, especially going into late July and August, we did a little less promotions, but we've started to pick that back up now. And we're moving into – as we move into the holiday period, we've got some really (29:43 – 30:00).
Walter Robb - Whole Foods Market, Inc.: That's right, turkeys to sell pretty soon.
John P. Mackey - Whole Foods Market, Inc.: Yes, one thing I would mention, too with our great national global team of purchasing work, we're doing more common promotions. So for the first time right before Thanksgiving, we're doing a direct mail piece that's going out, that's – we're dropping to 12 million households around our Thanksgiving promotions. This is a common set of promotions across all stores. So first time we've ever done that, so we're really kind of excited about that for Thanksgiving and then doing a similar process for both Christmas and New Year's resolutions.
Walter Robb - Whole Foods Market, Inc.: I want to just add something. This is Walter. I just think what A.C. said is so important to really land here is that we're going to be price relevant. We've been talking about that for a couple of years about truing up on to the market that's changing and being competitive and we've learned to be more selective and careful and really analytical about where that needs to happen, and I think you're starting to see some of the green shoots from that effort. But what A.C. is also saying is really important. We figured out more importantly, our strategy, our go-to-market as a company is we're a quality first company, and that's why we're also investing in the marketing this year to really let people know. Remember what's great about this company and the products that we sell and the environment we create and the team members that we have, and just hammer home effect. That is where we win as a company. That is how we do it. So that's a very important part of the answer to go along with the pricing and price investments.
Jason J. Buechel - Whole Foods Market, Inc.: Yes. Just to add on, this is Jason. We've also put some significant focus in some of our digital marketing and promotions. As we've previously mentioned, we've got about 5 million subscribers in our CRM databases which allow us to push out promotions through email, and we've seen a lot of uptick in that particular space. And we will be doing a number of offers throughout the holiday period there. We're also continuing to add more digital coupons and are seeing a lot of traction in that space. It's really as we called before sort of our affinity light, the sort of precursor to our rewards program, so more offers are going in there. And this really allows us to have the ability to target offers as well as learn better around the behaviors of what's driving folks into stores and making sure that we're teeing up offers that are relevant for our customers.
John P. Mackey - Whole Foods Market, Inc.: One last thing, John here. Going forward, a lot of our price investments we're going to make, we want to tie it very closely to our category management strategy. I think we've made some price investments that weren't as data-driven as they needed to be, and we've learned a lot of lessons from that. And now as we begin to roll out category management, we are going to really tie the future price investments into the overall category management strategy. So I think that's important for people to understand.
David Magee - SunTrust Robinson Humphrey, Inc.: Great job. Thank you.
Operator: The next question is from the line of Chris Mandeville from Jefferies.
Christopher Mandeville - Jefferies LLC: Yes, thanks for the follow-up. So, just kind of from a cultural perspective, obviously that's very important to you guys at Whole Foods. So can you just provide some color on how the employees themselves are actually responding to the changes thus far? And maybe separately, are you doing anything other than just looking at how the customer is shopping with their wallet to see how they feel about some of the store level changes, maybe frequent surveys or something of that nature?
Ken Meyer - Whole Foods Market, Inc.: This is Ken here. I can talk about the customer insight. One of the things that we're working on is really building a good cadence with our leadership team from our data and customer insight group that we've put together with Sonya joining us and really providing weekly and monthly view of what our customers are telling us, and how they are responding to the changes we are making. And we're also looking at how we evolve that and sort of how we change our decisions around merchandising and coordination of any kind of evolution into the business model. So our process, we're bringing that into our look every week and every period in terms of the similar process when we look at sales comps as well.
John P. Mackey - Whole Foods Market, Inc.: Yes, and I would say with the team members, you know, a big part of our culture, the environment culture is to really have the team members help us participate in creating that change. So even though there's some tough and challenging adjustments we're making in terms of expense reductions, labor reductions, the inclusionary part with our team members has really helped, and a project that we're rolling out across the whole company right now, our order-to-shelf project is our team members have really got very excited as we revamped our back rooms really focused on reducing out-of-stocks for our customers, that they can see the way forward and a way to win. And we win when our team members are happy, and we're not losing focus on that at all.
Jason J. Buechel - Whole Foods Market, Inc.: Yes, and this is Jason. Some of the things that we do, if you take some of the stuff that's moved to self-service as an example, has some great opportunities around win-win for both the store as well as the customers. So they can have a little bit more ease in selecting and picking up certain items, that ends up being a great win there on both sides.
Operator: The next question is from Kelly Bania from BMO Capital Markets.
Kelly Ann Bania - BMO Capital Markets (United States): Hi. Good evening, and thanks for taking my question. Just wanted to ask about gross margin a little bit. It seems like that they have come in better than your plan. I'm just wondering it sounds like you mentioned some price investments that weren't maybe as informed as they could be. Is that a reflection of using the data to make better price investments or are you thinking of kind of pulling back on that for the next couple of years in terms of price investments? Any color on that topic would be helpful.
A.C. Gallo - Whole Foods Market, Inc.: Hi, Kelly, A.C. here. As John just mentioned a few minutes ago, we want to be a lot more strategic with our price investments. We realized two things over this past year. One is that our customers really are – the most important thing for us is to maintaining quality both in our products and our experience. So it's very clear that we're not going to lower our quality in order to get lower pricing. The second thing that we realize is that we do a lot better with our promotional activity than just lowering regular pricing. So we have maintained our – as I said earlier, we're going to continue to really push our promotional activity. And then the third thing is really tying our price investments to category management. We're absolutely committed to continuing to invest in prices but in a much more strategic way. We found that through category management, especially now that we have the Nielsen Data to use along with it that we can make much more effective price investments if we do it through that strategy.
David Lannon - Whole Foods Market, Inc.: And I would also say – this is David. Pivoting back to the 365 stores is that streamlining the selection actually gives us a better price image in general. We founded that and we're bringing some of those principles back to Whole Foods as we go through the category management process and streamline our selection. That alone will also help our price image.
Walter Robb - Whole Foods Market, Inc.: Walter. Just adding one more thing here. And if you think about the evolution of the affinity platform it's our ability to really focus the investments against the customer that we actually know who they are and what they want and the return on the investments there are 4x, 5x, what they are to the general population. So it becomes a much more effective use of the dollars that we would invest.
Kelly Ann Bania - BMO Capital Markets (United States): Thank you. That's very helpful and then just one more if I can on Instacart. Can you just give any more color on how that's going? I think you mentioned maybe expanding into some more markets and how that relationship is going. And then is there any impact on baskets from growth with Instacart and seeing that those tend to be, I think, higher size baskets in general?
Jason J. Buechel - Whole Foods Market, Inc.: Yes, this is Jason. I'll comment. We've been continuing to expand our partnership with Instacart. A big part of the year-to-date has been around expanding ZIP Codes in existing markets. We've also gone live in several new markets like Phoenix which is what we went live with last week. We've also announced in our last call about our white label that basically allows customers to go to wholefoodsmarket.com and without leaving the Whole Foods Market digital ecosystem place their orders for delivery and we've seen that as a great win as well. Overall, the partnership is going well. And to your point, we are seeing larger baskets in this particular area. As we continue to use things like affinity, we're going to be able to zero in more to really understand customers that are both shopping physically in the store and using this as an opportunity to have groceries delivered directly to their house. Similar to how we look at 365 in Whole Foods Market with our partnership with Instacart we look at our physical store experience and our delivery as an And, not an Or. Our goal is to make sure that we are at the point where our customer wants to be met and the great part about the relationship with Instacart is it gives us sort of that ability to meet the customer and bring in groceries to their house.
Walter Robb - Whole Foods Market, Inc.: Walter. Just adding one more thing. I think that with Instacart what's great is that if you look at the platform or if you go through wholefoodsmarket.com to get which is powered by Instacart, essentially we have the chance to continue to make that a much richer shopping experience than it is today. I mean it's very good, it works, it's very utilitarian. But if you think about the richness of our stores, the goal is ultimately to have the Instacart experience or the wholefoodsmarket.com experience to be as rich as it is in the store. So we can grow it horizontally as well as vertically and there's just a lot of runway left to go in the relationship with Instacart.
Operator: And the last question is from the line of Rupesh Parikh from Oppenheimer.
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Thanks for taking my follow-up question. So I just want to touch on maybe two macro factors. So first on competition, as you look at your markets over the next few quarters based on your current visibility, what's your read in terms of competitive encroachment in terms of your markets? Does it improve at all versus what you've seen in recent quarters? And then secondly on cannibalization, how are you thinking about cannibalization this year versus recent quarters?
John P. Mackey - Whole Foods Market, Inc.: John here. So I'll take the second part of the question first. I mean cannibalization has been a factor at Whole Foods, and one of the things about moderating our rate of growth a little bit will be to lessen the cannibalization impact on our comps. So I mean we continue to open stores that are EVA-positive including cannibalization. But with our comps being negative, we're particularly sensitive right now to not adding to that comp number through additional cannibalization, so we're very conscious of that. And that's being thought through carefully when we do make real estate decisions now. And what – the first part of the question (41:38)?
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Yes. Just on the competition. I know in the I guess last couple of quarters, you've had a number of competitor openings in your markets. Just want to get a sense if that's at all easing as you look forward the next few quarters?
John P. Mackey - Whole Foods Market, Inc.: Yes, well, yes, maybe a little bit but it's a very tough market out there. There's a lot of – I mean if you think about it, you not only have strong conventional supermarkets like Kroger and H-E-B and Wegmans, but you've also now got more of the discount natural food operators like Sprouts and Fresh Thyme and Lucky's and they're all growing. And then you've got more delivery fresh stuff like Amazon, and then you've got these meal kit operators like Blue Apron and HelloFresh and Plated. And so it's a very competitive market out there. And I like Whole Foods' positioning. I like our positioning frankly better than anybody else's, but I think everybody's feeling it. You've got this macro environment of deflation that people are trying to deal with plus competition everywhere. Everybody's feeling that. I'm seeing everybody's comps go down everywhere. And it's just a very competitive environment. Great thing about Whole Foods is we're producing a lot of cash. We're making good investments. We've got a very good long-term positioning as this marketplace plays itself out. And so undoubtedly, the marketplace over time, there'll be more consolidation. There'll be some exits from the market; already seeing some of that. There are people going private or getting out of the public marketplaces. So I like our positioning but I'm not going to sugarcoat it. We've got a competitive runway ahead of us and we got to up our game. And that's what we're intending to do.
Walter Robb - Whole Foods Market, Inc.: And I just think, Walter here, that the – again, I think the Q results speak for themselves in terms of the green shoots and that we have – yes. And you see the signs of progress of the seeds we've been planting for the last couple of years and again what we said in the script, I think we really have made some great decisions together as a group about where we're going to go in 2017, whether it's affinity, whether it's marketing, whether it's the selective price investments, all the things we've discussed today. We have a really good plan for 2017, and we have a pretty high level of confidence; maybe have a little of this, little of that. But I think we have a – directionally, the trajectory we've set for ourself is very clear. So the encouraging – even with the competition John spoke about, we're putting up some forward momentum. So...
David Lannon - Whole Foods Market, Inc.: And this is David. We're also a strong competitor and we're opening stores, so they have to compete against us. We opened two great stores today, one in Walnut Creek in Northern California; and a second store in Victoria Island, outside of Vancouver and we're really excited about our new store openings and our plan for 2017 and we're going after it.
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Great. Best of luck with your efforts.
John P. Mackey - Whole Foods Market, Inc.: Thanks. It makes me remember a famous quote from the Civil War when Ulysses S. Grant took over the Union Army. He was always getting criticized. He was always hearing from his generals about what Robert E. Lee was going to do. Robert E. Lee is doing this. What are you going to do about that? And one day Grant said, you know, I'm so sick and tired of hearing what Lee is going to do. Well, Lee needs to worry about what we're going to do. And I think that's how I feel about our competitors. They need to worry about what Whole Foods is going to do.
Walter Robb - Whole Foods Market, Inc.: Is doing.
Rupesh Parikh - Oppenheimer & Co., Inc. (Broker): Okay. Great. Thank you.
Operator: And I will now turn the call back over to John Mackey for closing comments.
John P. Mackey - Whole Foods Market, Inc.: Okay. Thanks for listening in today, and please visit Whole Foods Market in our stores and online for the best selection of fresh, healthy holiday meals. And join us in February for our first quarter earnings call. Goodbye, everybody.
Walter Robb - Whole Foods Market, Inc.: Thank you.
Operator: This concludes today's conference call. You may now disconnect.